Operator: Hello, everyone, and welcome to the Cyxtera Third Quarter 2022 Earnings Call. My name is Daisy, and I'll be coordinating your call today. [Operator Instructions] I would now like to hand the call over to your host, Kwang Edeker, Senior Director of Finance, to begin. Mr. Kwang, please go ahead.
Kwang Edeker: Thank you, Daisy. Good morning and welcome to our third quarter 2022 earnings conference call. On today's call, we will refer to materials available on our Investor Relations website at ir.cyxtera.com. We are joined here today by Nelson Fonseca, President and CEO; and Carlos Sagasta, our CFO. After prepared remarks, we'll open up the lines for Q&A. Before we begin, I would like to remind you that today's earnings materials contain forward-looking statements, including statements regarding our future expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today's earnings materials, the Safe Harbor language on Slide 2 of our presentation, and our SEC filings for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results. We have included the reconciliations to these measures in our supplemental financial information. With that, I'll turn the call over to Nelson.
Nelson Fonseca: Thank you, Kwang. Good morning, everyone, and thank you for joining us for our third quarter 2022 earnings call. We have a lot to cover on today's call, so let's get started. Cyxtera completed another solid quarter as we continue to execute on our 2022 priorities. Demand for our products and services remained robust with annualized core bookings increasing 20% sequentially and delivering our 11th consecutive quarter of positive net bookings. This solid sales performance is a result of our unique global platform of highly interconnected data centers, our innovative approach to cloud-like colocation, our strong and diversified customer base and our unwavering focus on providing value to customers. Evidence of this sales momentum can be seen throughout many areas of the company. We had another strong quarter of channel sales and new logo bookings. Q3 channel performance was ahead of our expectations, more than doubling year-over-year and growing 9% sequentially. The channel accounted for nearly 25% of our core bookings in the quarter, representing the second best channel quarter in company history. In addition, the strength of our ecosystem continues to attract new customers to our global platform, adding 32 new logos in Q3, a 33% increase from the prior quarter. The strength of our ecosystem is a strategic priority at Cyxtera, and we continue to focus on innovative solutions that help our customers transform, grow and rapidly scale their digital business. This focus has led to a continued increase in the adoption of our Digital Exchange platform. This quarter, we closed our two largest Digital Exchange deals in company history. Both deals supported digital transformation initiatives with a combination of Enterprise Bare Metal, SmartCabs and Interconnection solutions, and will provide both customers the financial and operational flexibility of cloud with the control, performance and security of enterprise-grade colocation and dedicated infrastructure. I am also proud to say we have received two new patents on our Digital Exchange network fabric due to our continued focus on innovation and providing our customers with intelligently-automated, deeply connected and cloud-like solutions in the data center. The first patent applies to Cyxtera's IP Connect Service, which enables organizations to instantly provision and dynamically adjust Internet connectivity via self-service through our API or customer portal. The second patent covers the Digital Exchange network fabric itself, and the ability for customers to not only self-manage existing interconnectivity, but to also create new on-demand connections to their various hybrid IT environments, other customers, Cyxtera-delivered services or partner-delivered services via the Cyxtera marketplace. The results of our differentiated offerings and strong sales momentum can be seen in our continued revenue growth. During the quarter, total revenue increased by $9.5 million or 5.4% year-over-year. As you know, due to the global scale of our data center footprint, the strengthening of the U.S. dollar weighs on our reported financials. Excluding the impact of foreign exchange, total revenue increased by $14.1 million or 8% year-over-year, core revenue increased by $11.8 million or 7.3% year-over-year, while Interconnection revenue grew to nearly 12% of total revenue. The overall pricing environment remains strong across the board. Our stabilized occupancy increased 480 basis points year-over-year and we saw an increase in our revenue per cabinet. All these indicators highlight the quality of our data center platform and our strong momentum in the market. Transaction adjusted EBITDA in the quarter grew 0.8% year-over-year. Like revenue, transaction adjusted EBITDA was negatively impacted by FX. On a constant currency basis, our transaction adjusted EBITDA grew nearly 5% year-over-year. As we anticipated and previously discussed, utility costs continue to rise, but the power pass-through process that we put in place is yielding the intended results. Carlos will discuss power costs in greater detail later on the call. As a result of our strong Q3 performance and go-to-market momentum and despite the expectation for continued FX volatility and rising utility costs, we are affirming our 2022 guidance and expect revenue growth to be between 4% and 8% with transaction adjusted EBITDA growth of 3% to 8%. Before I pass the call on to Carlos, I would like to briefly address a few additional topics. First, we continue to make progress on our Silicon Valley expansion and expect contribution from our SFO4-B project in Q4 of this year. Second, we previously announced the Board approval of our REIT conversion, and we continue to make progress on that initiative. And third, we remain fully committed to strong governance and our ESG objectives as an organization. We want to empower customers and partners to build sustainable businesses, minimizing our own environmental footprint, fostering diverse and connected communities and increasing trust and transparency. In Q3, we released our inaugural ESG fact sheet, which provides information on our initiatives and impact across environmental, social and governance matters. We also implemented our supplier and business partner Code of Conduct this quarter. In summary, our Q2 results reflect a robust demand for our global platform of highly interconnected data centers and our innovative approach to cloud-like colocation. We remain committed to the long-term success of Cyxtera and are confident that our current trajectory positions us well to achieve our long-term objectives. With that, I will turn the call over to Carlos.
Carlos Sagasta: Thank you, Nelson. Good morning, everyone, and thank you for joining us for our third quarter 2022 earnings call. Cyxtera's team once again delivered solid financial results in the third quarter as we move through the second half of the year. The fundamentals of our business remain healthy, including strong constant currency revenue growth, low churn rates and resilient demand across our key markets. We believe this positive momentum, along with the strong building in our industry, position us well to mitigate some of the challenging macroeconomic trends that we're experiencing including increasing utility costs, higher interest rates and FX volatility. Going a little deeper into the financials now, let's turn to Slide 9. You can see total revenue for the quarter increased by $9.5 million or 5.4% year-over-year to $186.6 million, while recurring revenue increased by $8.8 million or 5.2% year-over-year to $178.1 million, reflecting robust demand and continued growth of our installed customer base. With that in mind, Q3 Interconnection revenue represented almost 12% of total revenue for the quarter and grew 12% year-over-year. Growth was primarily driven by incremental demand and further pricing power in the markets we operate. As you can see on Slide 13, we continue to experience an elevated level of FX volatility, with the stronger U.S. dollar reducing total revenue by more than 2.5 points in Q3. Remember, fluctuations in foreign currency do not have an impact in our cash flow, the impact is just translational. Average monthly core churn of 0.8% for the third quarter was 10 basis points – was a 10 basis point increase sequentially and year-over-year, respectively. Year-to-date core churn is 0.8%. We continue to expect these low levels of churn given the strength of our diversified customer base and the mission-critical nature of the deployments across our platform. We also have minimal exposure to the SMB market with an overwhelming majority of our customers considered large enterprises, which lend stability to our portfolio. Churn motives are in line with historical trends and certain predominantly around consolidation driven by M&A among our customers. Lastly, we continue to see very positive demand dynamics in Singapore, while supply remains constrain across the market. To better serve our customers in this market, we're in the process of moving customers from our SIN1 data center in Singapore to our larger site, SIN2. For reference, SIN1 is approximately 5 megawatts, while SIN2 is 10 megawatts. This added 10 basis points to churn in Q3. It would have been 0.7% without it. Given the positive momentum in net bookings that Nelson mentioned, we saw stabilized occupancy expand 480 basis points year-over-year to 73.7%. I would point out that occupancy expanded even more an additional 180 basis points compared to last year when adjusted for customer deals that closed in the last days of the quarter that are not reflected in our Q3 occupancy numbers. Sequentially, occupancy declined 50 basis points, but increased 130 basis points when adjusted. Core revenue, as shown on Slide 10, increased by $11.8 million, or 7.3% year-over-year, to $172.8 million. Looking at Slide 11, gross margin was 46.2%, a year-over-year decrease of 100 basis points, primarily attributable to higher power costs, which I will address in a few moments. Transaction adjusted EBITDA increased by $0.4 million, or 0.8% year-over-year, to $58.5 million. Transaction adjusted EBITDA margin of 31.4% declined by approximately 140 basis points year-over-year, primarily reflecting the increased power costs. On a constant currency basis, transaction adjusted EBITDA increased by $2.8 million or 4.9% year-over-year. As detailed on Slide 15, core MRR, excluding FX, increased by $4.1 million or 8.4% to $52.8 million, primarily due to net installations. Our MRR per cabinet increased 1% year-over-year and 3% sequentially as contracted ramps start to flow through the calculation and price increases have been additive to growth. As I mentioned previously, our cost of revenue has been negatively impacted by the increased power cost the data center industry has been faced with. The increase in power costs we have experienced in the first nine months of the year is expected to continue to weigh on all of our data centers across the industry. We have the contractual flexibility to pass through increases in power costs, but we consider the power pass-through activity very carefully, because we understand that this is a real impact to our customers. And for us, this is a cost recovery exercise, which does not create incremental profitability for Cyxtera. While we have established a cost recovery process that successfully passes through over 90% of the increased cost to our customers, there is an approximate 90-day lag for this process. As a reminder, further utility costs increase that are not recovered in the fiscal year are expected to be recovered at a 90%-plus percent that came in, in 2023. As you can see on Slide 17, approximately 45% of our total power cost in Q3 was in domestic deregulated markets, which have experienced a 23% increase year-over-year. While our exposure to international markets is more limited, our power costs in those markets have also increased 18% year-over-year. We have mitigated a portion of the risk associated with increased utility costs through greater use of forward purchases. In our deregulated markets as well as some international markets, we have addressed approximately 50%, which has helped us to offset some of the dramatic increases impacting the broader data center industry. On Slide 19, we have provided a breakdown of our capital investments. Overall, CapEx is up on the back of our higher expansion activity around key markets, particularly Silicon Valley. Maintenance CapEx came in at 1.8% of revenue in Q3, down 140 basis year-over-year. Year-to-date, maintenance CapEx is 2.6% of revenue, generally in line with our long-term guidance of approximately 3%. During the remainder of 2022, we continue to expect gross CapEx to increase significantly from the year-ago levels due to ongoing construction of SFO4-B in Silicon Valley and to meet the strong demand currently reflected in our backlog and near-term sales file. Now turning to Slide 20 for an update on our balance sheet and capital markets activity. We continue to improve our leverage position during Q3 with a net financial leverage declining 10 basis points year-over-year and 20 basis points sequentially to 3.6x. On a lease-adjusted basis, our leverage held steady at 6.2x. Turning to the balance sheet. As of September 30, our contractual debt outstanding net of cash and cash equivalents was $1.74 billion, but our financial net debt, excluding all capital leases, was $820 million. At the end of Q3, Cyxtera had liquidity of $159 million, including cash and cash equivalents and borrowings available under our revolver. Although our current structure is entirely a floating rate debt. We have managed the floating rate debt well and have insulated our exposure through our LIBOR selection in the second half of the year. During the quarter, we closed an accounts receivable securitization facility of $37.5 million with PNC Bank, committed for a term of three years. This new facility is another important component of our all liquidity and financing strategy, and we are very pleased with the terms as it provides us with greater flexibility and a low-cost source of capital. As it relates to our successful equipment sale-leaseback strategy, in Q3, we completed three transactions with cash proceeds from the sale of critical power and cooling equipment of approximately $20 million. The term lengths were five years and the weighted average interest rate was 7.53%. Our cost of debt was 100 to 150 basis points lower than companies of similar credit ratings, who were consummating sale-leasebacks at the time due to the equipment lending market appetite for the data center space, the criticality of the underlying assets to our delivery, and the overall equipment lending community familiarity with Cyxtera and our continued ability to service our debt were key inputs in that decision. Since inception, we have financed more than $240 million of equipment. Equipment financing is a foundational element of our overall liquidity strategy as it enabled us to preserve working capital and improve cash flow. As it relates to our capital structure and future refinancing opportunities, we believe we have enough runway ahead of us with our term loan maturing in 2024. We continue to evaluate all possible avenues that make the most sense to support our business model and growth plans in the future. As Nelson mentioned, we're pleased to refer our 2022 guidance for revenue, transaction adjusted EBITDA and CapEx. Despite an unpredictable macroeconomic environment and the very volatile capital markets, we continue to believe that the fundamentals of the industry as Cyxtera remains solid and we'll continue to support the strong performance of the business in the future. With that, thank you all for your continued support and for joining us today to discuss our third quarter results. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Frank Louthan from Raymond James. Frank, your line is open. Please go ahead.
Frank Louthan: Great, thank you. Can you give us a little bit more color on the shifts in the available space, particularly what was going with Singapore? And is that going to bounce back up as you move to Singapore 2, into some sort of a trend? And then can you give us a status update on the status of the new Santa Clara facility, and when you think you'll be in that? I apologize if you addressed that on the call, but I missed it. Thank you.
Nelson Fonseca: Hi, Frank. Thanks for the questions. I think Singapore, I think, is a unique situation where we felt it was best to move the customers that we had in that space to Singapore 2. It's a larger – a larger facility, so I wouldn't read into that in any sort of trend. The real takeaway there is because of that move, there was an increase in churn in this quarter that without that, it would have been at 0.7%, which I think highlights how well we're doing with our customers. I did address SFO4-B briefly in my comments, and we do expect that to start contributing to our results in the fourth quarter.
Frank Louthan: All right, great. Thank you And then just a quick follow-up. Anything from the SEC or IRS that gives you any concerns on the REIT conversion being delayed? Or has everything looks like it's a go from here?
Nelson Fonseca: No, look, we're working through the process. We don't have any concerns at the moment. And so we're, as I mentioned in my remarks, just working through the process as it's laid out and no concerns at this point.
Frank Louthan: All right, great. Thank you very much.
Operator: Thank you. Our next question is from John Hodulik from UBS. John, your line is open. Please go ahead.
John Hodulik: Great, thanks and thanks for all the information on the higher power cost. And I see that it – you called out that it hit the margins for about 100 basis points this quarter. Can you talk about how you expect that to play out throughout the rest of the year and into next year? I mean, should we – obviously, you guys have the ability to raise prices. But given the cadence and the delay you said in recouping those prices, do you expect additional pressure on gross margins as we look into 2023? That's number one. And then any comments on the pricing backdrop, a number of your competitors have said that given supply constraints in the industry outside of the power issues and the pricing environment has improved dramatically over the last 12 months. Just anything you're seeing on that front would be great. Thanks.
Nelson Fonseca: Hi, John, let me address the pricing, and then I'll pass it on to Carlos for a little bit more color on the power. Yes, I think the pricing environment is solid for us right now. I think it's solid across the industry. We have a very good available inventory across our platform, which puts us in a great position to take advantage of that opportunity. So we're seeing very similar – a very similar, strong pricing environment across the board. Carlos, I don't know if you want to address that?
Carlos Sagasta: Yes. I think, John, it's going to depend a little bit on where do we see some stabilization on pricing of energy, right? I think pricing is not linear, up or down, and so some – you're going to see some volatility across quarters. Typically, Q3 is a tougher quarter because that's where the bulk of the summer tends to fall from a financial perspective. I would expect some moderation in Q4, which allows – which will allow us to catch up a little bit, so I would expect Q4 to be more stable. But obviously, we don't have a crystal ball as to what's going to happen with energy prices to the extent that they keep going up. You're going to see some sequential pressure on gross margin percentage. Gross margin dollars, we're catching up to the cost, and so I feel better on that front, but you might see some pressure on gross margin percentage.
John Hodulik: Got it. Thank you.
Operator: Thank you. Our next question is from Michael Rollins from Citigroup. Michael, your line is open. Please go ahead.
Michael Rollins: Thanks and good morning. If I could start with a focus on the revenue guidance. So the unchanged guidance, midpoint 6% growth year-over-year from 2021, can you unpack for like the full year guidance impact? Like, what the headwind is from currency for the full year? Any potential benefits that you're getting from the energy pass-throughs? And then you can help use those numbers to frame how the organic performance has evolved over the course of the year at the midpoint of the range. Thanks.
Nelson Fonseca: Hi, Mike. So let me, I guess, address the big picture, what I see from a revenue perspective. I think the takeaway overall is that we're seeing kind of strong demand, and we're hitting those revenue numbers despite some of the challenges from FX. And so from our perspective, we're seeing the strong bookings momentum, the lower churn, and that translates into the revenue growth. And so if you take into account the fact that our revenue has been impacted significantly from an FX perspective and the fact that we can continue to be at the midpoint of that guidance speaks to the strength of where we are from a revenue perspective. I think we put a slide in there on our constant currency analysis of how our revenue growth would have been 8% year-over-year with constant currency, and I think that's the best indicator of how the business is performing at this stage. Carlos, I don't know if there's anything that you can add.
Carlos Sagasta: And so Mike, what I would say is 8% was in the third quarter, 7% year-over-year growth year-to-date on a constant currency basis. There's no question that, particularly in Q3, FX had a very significant move in the market, probably even bigger than what we saw in Q2. We expect to see some moderation, and so you're right. We didn't change guidance because the core performance of the business, it's very robust. And it's a combination of higher demand, better occupancy. And yet at the top line, you're having that impact of power pass-throughs, which is also helping us get a bigger revenue number. But I would say power pass-throughs is not the only reason why we're maintaining guidance or we feel that the business is performing at the right level. It's really that increase in occupancy and market dynamics that we're seeing that really sustain that number.
Michael Rollins: And then just one other question if I could. So you mentioned that the utilization exiting the quarter, if adjusting for some deals at the very end of the quarter, would be about, I think, 75.5% if you make those adjustments. And just curious, as you're looking at where the utilization sits, how is that relative to the original multi-year plan? And how does that utilization level relate to what the financial expectations would be in that plant when you arrived at this type of utilization level?
Nelson Fonseca: Thanks, Mike. So let's talk a little bit about how utilization kind of translates into revenue. So the way we – the way this works is once we sell a deal, right, it takes a couple of days. That's why Carlos mentioned that in the last couple of days of the quarter, which is great, where we finished the quarter strong, but we had some deals that would have increased occupancy further if they would have been closed a week before, and that's just the nature of our automated systems. But keep in mind that once we have it in occupancy, once we sell the deal, it doesn't immediately become revenue. It becomes backlog. And so we have – all of that revenue that's coming from that increased occupancy is not on the books yet and doesn't go on to the books until it gets deployed in our standard waterfall. So I think that's point number one. And I think the way we view it is we're right on track with what we've said previously on the expectations from revenue and financial performance from that occupancy, right? We wanted to get to that 80% level, and when you continue to work towards that goal. The only pressure on EBITDA from that original plan is obviously FX is pressured and power costs are – is pressured. So you see that impacting EBITDA somewhat. But if you take a step back and look at what we were – what we thought about from a long-term vision when we launched the company and where we are on the current occupancy rates, we feel good about that performance. Carlos, anything that you want to add there?
Carlos Sagasta: No. I would say that versus the original plan, I'd say we're slightly ahead of plan so to speak, but without contemplating the macro environment. And as we said before, FX and power are things that are driving that down. So in the balance, we're probably on target with a few things going better and a few things going not as well as we thought.
Michael Rollins: Thank you.
Operator: Thank you. Our next question is from Jonathan Atkin from RBC Capital Markets. Jonathan, your line is open. Please go ahead.
Jonathan Atkin: Thanks. I was wondering if you could talk a little bit about your capital priorities for next year? What types of projects that you anticipate pursuing based on projects underway, based on demand that you're seeing from customers? And then secondly, how you would propose – maybe just the puts and takes around different financing options to fund the CapEx, given some of your debt obligations and current liquidity? Thanks.
Nelson Fonseca: So John, let me start, and I'll pass it on to Carlos from additional – for some additional color. As we've been pretty consistent since day one, our expansion is really focused on those key markets. So, Silicon Valley, we're finishing up SFO4-B. We're doing great in that market and so we would continue to look for opportunities to expand. In SFO4-B, we've also talked about London and Chicago with markets that we're very interested in expanding in because we're seeing great performance there. So I think those priorities from an expansion perspective have not changed. I would also point out that we still have available inventory in a lot of those key markets, and so we're in no rush per se to have to expand. We're always looking for opportunities to expand in the best way possible for the business. From a capital perspective, Carlos can chime in, but we're always looking at the best way to fund any one of those individual projects that makes the most sense for us at that time. Carlos, I don't know if there's anything that you want to add there?
Carlos Sagasta: Yes. Maybe I would say that obviously, those are the key markets in which we intend to expand, but we follow our customers. And so markets like Toronto, for example, which has proven to be a very strong market, or Atlanta will be markets that we would consider because we listen to our customers and we were using that intelligence to continue to expand in a very cost-effective and occupancy effective way. When it comes to funding options, obviously, we need to address our debt stack that matures in 2024. We've been working on it for quite some time. The market hasn't been as supportive as we would hope, but we'll still find a way to manage it in an appropriate time. We've always said that we wanted to be a bit strategic in how we thought about it but opportunistic in the sense of hitting the right window. But I think as we showcased a little bit this quarter, a lot of the CapEx that we need to put into a facility relate to critical mechanical, electrical and power. And we have found a stable of really supportive financing partners that allow us to do that at good terms and good interest rates, and so that probably will be our primary source even after we do our full refinancing of the debts that we have.
Jonathan Atkin: Thank you.
Operator: Thank you. Our next question is from Sami Badri from Credit Suisse. Sami, your line is open. Please go ahead.
Sami Badri: Hi, thank you. My first question is kind of just hitting the topic of pricing, and I think the one thing a lot of people in the data center investor base are just trying to understand is, how much has the effect of price increases and power cost through, how much of that has already been executed and being seen on the income statement and some of the drivers of your financial statements? So that's kind of the first question, and maybe just an expectation for what you expect to see from a price increase perspective for 4Q 2022 and also into 2023. That's my first question. And then my second question has a lot to do with where you believe your cash position will be at the end of 4Q of 2022, just so we can understand how to model cash position, liquidity and any other kind of moving parts in the financial model.
Nelson Fonseca: Thank you, Sami. So as we've mentioned, right, there's a number of aspects to pricing. So let's talk about the power pass-through. I think we've been consistent in the way we pass-through power cost increases to our customers. We're going to recover 90% of that, but it's going to take 90 days. So by definition, power costs that we've experienced in the last kind of 30 days, we will receive that, we'll be able to pass that through and get that as revenue over the next 90 days, right? And so because we don't know what the – how the power market is going to evolve, it's very hard to say what that power increase is going to be. It is that kind of 90-day window or that 90-day slide for recouping pricing from a power cost perspective. But that isn't the way a customer views a power cost pass-through is an increase in price, right? They're paying more for what they have. That's one aspect of it. We're seeing a good power situation and environment for cross connects right in the markets that we're in, so there's an ability to raise prices there. We've also increased prices just on our base book. So as new logos come in, pricing for those new logos is higher. And then because a lot of our – the vast majority of our customers are on kind of a three-year contract window, as we renew those customers, we're also seeing a very stable pricing environment. Remember, unlike maybe wholesale or hyperscale providers that have longer-term contracts where a renewal only comes once or once in a long period of time, our sales motion includes renewals all the time, right? It's part of what we do. And so we're seeing a healthy pricing environment as we renew customers. So a power pass-through is one lever on price, but it's not the only lever, right? That's more of a cost recovery item that we do for our customers. But overall and in general, the pricing environment is very strong. I don't know, Carlos, if you want to address Sami's question on the cash.
Carlos Sagasta: On liquidity, yes. I would say without any changes to current sale and leaseback activity, we would expect to end the year around $75 million.
Sami Badri: Got it. Thank you. One other question, if I may. Is the REIT conversion on track from a timing perspective? I believe you're targeting something in the not-too-distant future for completion. And then maybe once you are – once you become a REIT, what is the kind of strategic, I guess, like the game plan, right? Is it one of the main objectives to kind of be more comparable to other equity companies? Is it almost a fundraising benefit that you guys see as something that's viable? Could you just kind of give us the merits for why strategically and financially converting into a REIT right now at the right time is the right move for Cyxtera?
Nelson Fonseca: Yes. So Sami, I think, I mentioned in my remarks that the process for the REIT is ongoing, and it's going according to plan, right? So as we first mentioned, there's a lot of things that we need to do. We're working through all of them, but we feel good about where we are with that conversion understanding that we're not done, right, and there's still steps that we need to complete. We feel that being a REIT is good for the company, both short-term and really more long-term, right? It will make us more comparable to our peers. And look, we have strong demand for our capabilities. We're seeing that everywhere across the footprint for our digital exchange, and so being a REIT could help us for fundraising in the future. And I think there's no lack of opportunities for us to deploy capital, right? So I think those are two of the main reasons that we feel that being a REIT is good for the company. Carlos, anything that you want to add there?
Carlos Sagasta: No. I think those two are the tenets of the decision.
Sami Badri: All right, perfect. Thank you.
Carlos Sagasta: And Sami, if I may. I made a comment before when I talked about the market maybe not being as that supportive, I really was referring more to the volatility that we've seen in the debt and equity market more than anything else, right? It's just been a very unstable market backdrop, but that's what I was referring to.
Sami Badri: Got it. Thank you for the clarification.
Operator: Thank you. Our next question is from Michael Elias from Cowen and Company. Michael, your line is open. Please go ahead.
Michael Elias: Great. Thanks for taking my questions. A few, if I may. First, just relating to the REIT conversion, I was just wondering if there's any framework that you could provide for us a as we think about potential dividend moving forward, and then also potential magnitude for any E&P purge related to the REIT conversion? That's my first question, and then I have a follow-up after. Thanks.
Carlos Sagasta: I'll start with the E&P because that's an easy one. We don't expect to have any earnings purge as part of this process. That's a conclusion that we reached without our advisers, so we're pretty solid on that. And Nelson?
Nelson Fonseca: Yes. Look, on the dividend is we're working through finalizing the REIT conversion and kind of our position on dividend timing amount, and those things are part of that part of that work. And so as we know more and as we complete that process, we'll provide more information on that front.
Michael Elias: All right, cool. And then just a follow-up, just talking about the broader demand environment. I mean, you've seen record leasing or strong leasing rather, the last two quarters. Just as we think of your pipeline, how would you describe the depth and breadth of it versus what you saw entering the third quarter and as part of that also, any areas of or pockets of incremental weakness that you're seeing?
Nelson Fonseca: Yes, look, Michael, it's a very good question. Honestly, we have not seen any negative impact to the pipeline. It's been consistent for us now for a number of quarters. I pointed out in my remarks our success with the digital exchange platform, and so obviously, as customers, we have large enterprisers. As customers with global needs, as they look for ways to become more efficient to grow their business, we do so in a flexible and cost-efficient way. I think the market is coming to us, right? We have a very diverse platform so we can meet customers on multiple locations in all the top 10 markets, not every provider has that capability. They're highly connected facilities so they can get all the business partners they want in those facilities, and frankly, the investments we've made in developing the software to allow our customers to get what they need in a very rapid and flexible environment is paying dividends. And so we are a very good choice for those large enterprises to continue to grow their businesses and scale it, and I don't see any reason for that to change. In fact, I think it's going to continue because I believe the market is coming to us from that perspective. So we don't see any weakness in any of the pipeline. We're very pleased with the progress that we're making on that front.
Michael Elias: Perfect. Thanks and if I could squeeze one more in. You talked about the better pricing environment. I was just wondering if you could help translate that for us into what you're seeing on a GAAP and cash renewal spread basis? Thanks.
Carlos Sagasta: I mean, GAAP and cash for us is basically the same, because we don't have these long-term contracts that you see with some of the guys that we don't do wholesale, and we don't do hyperscale. So GAAP to cash for us tends to be the same thing, and so there's no spread there. If you're asking about what we're seeing on renewal spreads, what I feel we would say is that we're seeing a growing trend of positive pricing spreads at the time of renewal. Nelson, do you like to add anything to that?
Nelson Fonseca: Yes, I think, it's – I tried to comment a little bit on that. I think it was Sami that asked the question, Michael. Look, because renewals are part of our business, we go through renewals all the time. We're very cognizant that our customers are going through a lot of pressures, right? So price increases are difficult for them, and existing customers are 80% of our bookings. That being said, the pricing environment for us is very healthy. So as we get to renewals, renewals for us, I can't speak to other types of providers in the industry, but renewals for us are a good time to address the need for increasing price, right? And so as we go through renewals, again, I'll remind everyone, it's – we have an average three-year contract. So think about it as every year a third or so, 30%, 25% of our customer base renews and also we have the ability to address pricing at that time. And so what we're seeing is good discussions and a healthy environment when we engage with customers at that point.
Michael Elias: Great. Thanks for the color.
Operator: Thank you. [Operator Instructions] Our next question is from James Breen from William Blair. Mr. James, your line is open. Please go ahead.
James Breen: Thanks for taking the question. Just in terms of your customer activity, can you talk about customers who are taking space from your multiple locations? And has that changed at all over the last several months? And then with regard to the REIT, any sort of preliminary view in terms of what amount of your revenue and cash flow could fit into the REIT versus taxable entity? Thanks.
Nelson Fonseca: Let me talk about the customers, and then I'll let Carlos address that REIT question. Look, I think one of our big differentiators as a company is the fact that we have global scale. We're not a regional provider and we're all in the top 10 markets. And so just like we've had many of our customers in multiple locations, that trend continues – that continues for us. And frankly, even when customers only need one location for a given workload, the fact that we can provide them additional locations in the future, or frankly, give them portability for that workload if their needs change and all of a sudden instead of wanted to be in London they want to be in New Jersey, that's a core part of our differentiation and a key aspect of our go-to-market. So that continues strong for us and will be something that will continue to drive good solid sales momentum for us in the future. I don't know, Carlos, if you want to address the…
Carlos Sagasta: Yes. We're not fully [indiscernible] on that, James, but I would expect the TRS part of the contract to represent less than 5% of our current revenues, right? There's only a couple of business lines that we're going to put into that TRS entity, and it's really not going to be very meaningful.
James Breen: Great, thanks.
Operator: Thank you. We have no further questions, so this concludes today's call. I hope everyone has a lovely day, and you may disconnect your lines now.